Executives: John Porter Alan S. Armstrong - Chief Executive Officer, President, Director, Chairman of Williams Partners GP LLC and Chief Executive Officer of Williams Partners GP LLC James E. Scheel - Senior Vice President of Corporate Strategic Development Donald R. Chappel - Chief Financial Officer and Senior Vice President Francis E. Billings - Senior Vice President of Northeastern G&P Operations Rory Lee Miller - Senior Vice President of Gulf & Atlantic Operations Fred Pace John R. Dearborn - Senior Vice President of NGL & Petchem Services Allison G. Bridges - Principal Executive Officer and Senior Vice President of West
Analysts: Stephen J. Maresca - Morgan Stanley, Research Division Christine Cho - Barclays Capital, Research Division Bradley Olsen - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division Craig Shere - Tuohy Brothers Investment Research, Inc. Carl L. Kirst - BMO Capital Markets U.S. Sharon Lui - Wells Fargo Securities, LLC, Research Division Theodore Durbin - Goldman Sachs Group Inc., Research Division Jeremy Tonet - JP Morgan Chase & Co, Research Division
Operator: Good day, everyone, and welcome to the Williams and Williams Partners Second Quarter Earnings Release Conference Call. Today's conference is being recorded. And at this time for opening remarks and introductions, I would like to turn the call over to Mr. John Porter, Head of Investor Relations. Please go ahead.
John Porter: Thank you, Mary. Good morning, and welcome. As always, we thank you for your interest in Williams and Williams Partners. Yesterday afternoon, we released our financial results and posted several important items on our websites, williams.com and williamslp.com. These items include yesterday's press releases with related schedules and the accompanying analyst packages, the slide deck that our President and CEO, Alan Armstrong, will speak to momentarily and an update to our data books, which contain detailed information regarding various aspects of our business. In addition to Alan we also have the 4 leaders of our operating areas present with us. Frank Billings leads our northeastern G&P operating area; Allison Bridges leads our Western operating area; Rory Miller leads Atlantic Gulf; and John Dearborn is here from our NGL & Petchem Services operating area. Additionally, our CFO, Don Chappel is available to respond to any questions. In yesterday's presentation and also in our data books, you will find an important disclaimer related to forward-looking statements. This disclaimer is important and integral to all of our remarks and you should review it. Also included in our presentation materials are various non-GAAP measures that we reconcile to Generally Accepted Accounting Principles. Those reconciliation schedules appear at the back of the presentation materials. So with that, I'll turn it over to Alan Armstrong.
Alan S. Armstrong: Great. Good morning. Thanks, John. We are excited to talk to you about our second quarter, as well as the continued progress on executing our strategy. We remain very confident that our strategy is well positioned to benefit over the long haul as we continue to see this market emerge and tremendous demand for infrastructure to take advantage of the low cost natural gas and natural resources continue to be developed in North America. Just to level set before we get into the presentation. I want to run down a few key points that are key to our strategy and this is starting here on Slide 4. First of all, this -- the strategy really does frame our growth investments, our dividend and distribution growth strategy as we continue to use that as direction for how we manage the business. So we remain very disciplined around the strategy and it really is a very strong compass for us in the decisions we make. So it's important for you to understand it. First of all, in the competitive advantage. Competitive advantage is created by large scale and the resulting market access and low-cost that we offer to our customers continue to be a guiding light for us. You won't find us making investments without those characteristics in our sites. Our Transco system and our West operating areas are great examples of what that looks like to us. And if you look at the Northeast, the moves we're continuing to make in this area really are all focused on getting to that scale of #1 or #2 position in that area. And certainly, we are convinced beyond a shadow of a doubt that over the long haul, this creates great opportunity and value for both our customers and our investors. On looking to the growth side, I'm not sure it's possible really at this point to overemphasize the growth opportunities that we have available to us right now. Our Williams Partners Transco system is another great example as it relates to the growth opportunities that are in front of us. This is the nation's premier natural gas pipeline system. It's connected to the right supply and certainly the right market areas and the growth opportunities that continue to come at us day after day on this -- continue to build our confidence about the growth, not just in the supply side as we've seen around natural gas, but a strong movement towards the demand side. And as we expect, the overall market continue to expand. The position we're in there is very enviable and we really are in a position to select not just any growth opportunity, but the very best growth opportunities available in the industry right now. Simply put, you'll see us focusing on the top layer of cream in this opportunity set and with Transco is in other areas, we're realizing our strategy and we are ensuring these benefits translate into value for our investors. On the high dividend growth side. This is central to our value creation strategy. We've taken steps to ensure that even during a period of high investment in all these great growth opportunities that we are rewarding investors right now. We are building in the components to see this strategy run full-out as we bring on significant growth investments, many of which come online in 2015 and just beyond our current guidance period. We are investing to connect the best supply areas with the best markets, but we're also investing in ways that focus on fee-based that is largely resilient to commodity market fluctuation businesses. This is the foundation of our strategy to reward our investors with growing cash dividends and distributions, and we believe those characteristics also will produce high-value growth. It certainly, from our vantage point, is the best opportunity we have to deliver great shareholder value both now and in the future. So let's get into the meat of the presentation today. Following a few comments from me as I go through these slides, I, along with the management team that John introduced earlier, look forward to hearing from you. Moving on to Slide 5 here, which covers the key headline for today's earnings and guidance discussion. The big stories here. First, the growth in our fee-based business at Williams Partners was a major driver in our second quarter results. Keep in mind that strong performance was up against even less favorable NGL margins in this quarter and the unexpected impact of our Geismar olefins plant, which was down for about 20% of the period, and obviously, related to the tragic incident that we experienced there in June. Second, we are, again, reaffirming our strong growth guidance for our cash dividends and distributions. We continue to expect 20% per year growth in Williams' cash dividend in each of the 3 years in our guidance period. And for Williams Partners, we continue to expect strong cash distribution growth of about 9% here for 2013 and about 7% annually in each '14 and '15. Third, we are updating our earnings and DCF guidance with the modest changes to reflect lower NGL margins and our assumptions related to Geismar, including the projected restart date in insurance proceeds. So we'll spend a little more time on that here in a moment. And I want to call out how things are developing from an investor perspective with our olefins business at Geismar. That's where, as you know, we experienced an explosion on June 13. For all of us at Williams, it was significant, both personally and professionally, and also from an operation standpoint. During my tenure at the company, we haven't had to endure -- experience anything like that. And I can tell you, it was an event that I am very mournful of on the one hand, on the other hand, I've been very impressed at how our professionals across this business have pulled together to respond to it in a way that is keeping with our culture and now getting back and working hard to overcome from the incident. From a financial perspective, we continue to expect that our insurance policies will significantly mitigate the financial effects of the incident. And we expect to resume operations at Geismar in April and bring -- in April of '14, and bring the expansion into operations immediately thereafter. We have updated Williams Partners' guidance to reflect our current assumption about the financial impact of the Geismar incident. In addition to the Geismar impact, our updated guidance also reflects the expected NGL margin to deteriorate in '14. Even though we did -- we have lowered our NGL margins for '13 and '15 as well. I would tell you that we were -- we've been able to overcome that with other positives. So really the only area that we're lowering guidance on is related to NGL margins is a little bit of modest reduction for '14. Fourth, we expect Williams Partners DCF to increase by 66% between '13 and '15 as our large inventory of projects and most of these, as you know, are fee-based, continue to come online. And what's notable here, as well is that we expect the impressive growth to come even as we see continued pressure on the NGL markets that I spoke to earlier. Finally, we'll quickly touch on the few of the recent operational developments that support our broader strategy. One that's particularly noteworthy is the progress that we're making on the Bluegrass Pipeline project that is now included in our guidance. Before we move to the next slide, I want to make sure that we're clear about Williams' support for Williams Partners distribution during this period of high investment in the extraordinary growth opportunities that we continue to seize. As you'll recall in May, Williams announced we would support WPZ's cash distribution coverage ratio at a level of about 0.9 by waving the $200 million in incentive distribution rights. Today, that $200 million is unused, untapped because Williams Partners' strong second quarter performance yielded a year-to-date coverage of 0.92. So great news there that due to the strong DCF at Williams Partners in the second quarter, we remain without having to use that IDR waiver. So we're very excited about that. Let's move on to Slide 6 here. The major story here is that we're seeing the tangible benefits of our growing fee-based businesses and what it meant in the second quarter is that we delivered solid results even in an environment of weaker NGL margins and the significant impact of the downtime at Geismar. At Williams, we had our second quarter adjusted segment profit plus DD&A was up 7% compared with the year-ago. And for Williams Partners, our second quarter distributable cash flow was almost 1/3 higher than the year-ago levels. The primary driver of the DCF increase at PZ of course, was the strong contribution that Geismar made to the quarter prior to the June 13 incident. And of course, as you recall, that asset was dropped down in the fourth quarter of '12. And, as you know, it is producing tremendous distributable cash flow. Also -- substantially secured as we've mentioned to you and we'll provide a little bit more detail. We know there's been quite a bit of confusion on the insurance coverage in this package that we sent out, we hope it helps to clarify that. But we're glad to say that our business interruption insurance is helping secure a significant portion of that expected DCF. Getting this asset back in service with safe and reliable operations and expanded volumes is clearly one of our top priorities for the company right now. And we've got a great team of professionals that have got their hearts and minds into making that happen and are making great progress on that. For WPZ, we are pleased to report that our fee-based revenue grew 9% over the second quarter of 2012. During the second quarter, we saw our Western volumes recover from the earlier winter conditions of the first quarter. And we also benefited from the continued volume growth in the Northeast, as well as the startup of some of our new facilities. Another driver of our improved DCF versus the prior year was lower maintenance CapEx and this is primarily driven by reductions in our Western segment as various projects wrapped up in 2012. Additionally, we saw another significant drop in NGL margins of 13% from the prior quarter, so from the first quarter, which were already pretty low compared with what we've seen in recent years. And in fact, the NGL margin for the second quarter were down a full 44% from the prior year. So I think this is very significant that even despite these continued declines in NGL margins, you're seeing our business start to ramp out of being affected by that and really start to grow from the strong impact of the growth in our fee-based volumes. So our strategy is really starting to take hold in terms of those investments, and we think this is really kind of a turning point this quarter as we start to overcome those declines with the growth in that business. We continue to be very excited as well about our Access Midstream Partners investment as they reported a strong second quarter with their adjusted EBITDA increasing about 71% over the prior year second quarter. And for our second quarter equity earnings, we recorded $18 million in our adjusted segment profit plus DD&A column. In Williams NGL & Petchem Services business, we saw higher volumes lead strong growth, up nearly 50% in adjusted segment profit plus DD&A versus the prior year. So with that good news, let's move on to Slide 7 and review the Williams Partners guidance. So now, we're looking forward here a bit. In addition to the strong second quarter, we remain very optimistic about our business for the balance of the year, despite the fact that we're lowering the margins on the heavies a little bit because we just haven't been able to see that increase that we've been hoping to see in the propanes and butanes and so we did lower that a little bit. But the fact that our fee-based business has been growing and we've been able to do such a good job around managing our cost, is allowing us to hold guidance. On that basis, what really is impacting guidance here in '13 was the impact of the Geismar incident. So the big story here is we continue to expect tremendous growth in the PZ distributable cash flow. And in fact, we're expecting DCF to grow by 66%, increasing over $1 billion in just this 2-year period from end of '13 to end of '15. This growth is driven by WPZ's end guidance CapEx, which is averaging about $3 billion per year right now. And our latest guidance for WPZ's DCF includes modest reductions for this year and next year. For 2013, the effect of the Geismar incident is the key driver. And if not for that, we would have seen, hopefully, actually a raised guidance because we've been able to reduce costs and continue to grow our volumes at a pace that is even better than we were hoping for. For 2014, our expectation of NGL frac spreads is remaining very low. And due primarily to the lower assumed values for the heavy part of the barrels I mentioned earlier, and this really is the key driver in the change here for 2014. There are a number of other moving parts in there. But including in some of our projects and first flow dates on some of these projects that are backing up. But for the most part, we're -- again, we were able to offset that through other improvements, so it really is just boiling down to the NGL margin reduction there and we think we moved this down to a fairly conservative level. I know there's a lot of interest now we're thinking about the Geismar effect in our financial forecast. We have a slide in the appendix of this presentation that shows what we've included for business interruption insurance and how it is recorded in our financials for both the GAAP and the non-GAAP measures. Our 2015 distributable cash flow guidance continues to be strong. And importantly, does not incorporate any support via IDR waivers from Williams and with more than 3/4 of our gross margin coming from fee-based business by 2015, we have created a cash flow stream that is more resilient to changes in commodity prices and our 2015 forecast it does, and include an expectation of lower commodity margins, yet we were able to hold it where it was again due to improvements on some other piece of our business. I do want to make 1 point on guidance within the segments of Williams Partners. You'll note that the Northeast gathering and processing segment profit guidance is lower throughout the guidance period. It's important to understand that this change is really driven as a result of a reallocation of support costs among our WPZ segments. It's not an actual increase in WPZ's overall cost structure, again just an allocation amongst the various regions. So bottom line, our guidance now more actively reflects support cost that are being increasingly allocated to support the tremendous growth that we're experiencing in the Northeast and this accounted for about $30 million of lower segment profit for '14 and '15 and a little less than that for '13. So that's a good overview of our guidance changes for WPZ, which, of course, is a major driver for WMD's earnings and cash flows. So let's move on to Slide 8 to review Williams and Williams Partners CapEx and investment guidance. First, just focusing on WPZ's capital, I point out that we did have a number of movements among the 3 guidance years. But in the aggregate, CapEx is consistent with our prior guidance. And of course, we have lots of additional information about CapEx guidance at the project and reportable segment levels in our data book, which you can find on our website. Outside of WPZ, we have a couple of major developments to discuss. First, and most significantly, our current guidance now takes into account the Bluegrass Pipeline project. Our board recently approved the project and we continue to be encouraged by the support we are seeing from the shippers who recognize tremendous value that Bluegrass has to offer these very large-scale, rich gas drilling programs, and I can tell you that the producer community out there sees this as a great resource. But frankly, they really are dependent and really extremely interested in making sure that these kind of large-scale solutions for clearing these products in advantaged markets are going to be in service. And so I would just tell you, we've been thrilled with the response and the interest in the capacity that we have available for this project. And frankly, I suspect that we'll look back in the not-too-distant future and wish that we had more capacity to have available for the area. We are basing our expected investment on a 50% ownership of the pipeline and related frac-ing storage facilities. And we also included a few notes on how we think about the financing of the project. We've updated our current guidance to reflect ongoing changes to our Canadian PDH project as well. We have increased our estimated cost of this project as we've seen similar projects in our sector experiencing some overruns and so we've always got our ear to the ground and really trying to gain intelligence on what's going on in the space and we've certainly noted that some overruns exist out there. And so we're now looking at pushing the in-service date into 2017, primarily to allow for the codevelopment of the derivative plants that would be designed to take advantage of geographically advantaged propylene supply. We're in the process of negotiating offtake agreements that will dramatically reduce our commodity exposure on the projects and I'll just tell you, the interest that we've seen has been tremendous, and we're very excited about this project and our ability to really convert this into more of a fee-based kind of opportunity for us and at a very minimum, really reducing our commodity exposure on the project. So still extremely excited about the project and frankly, one of the advantages we're trying to make sure we capture is to make sure that we get full advantage for the geographic advantage that producing propylene and propylene derivatives in this area has to offer. Let's move on to Slide 9. As we review the second quarter and the first month of the third quarter, it's rewarding to see how we are executing on our business objectives, bringing new projects into service, setting volume records and adding new growth projects. These achievements all serve to support our strategy of developing and operating large-scale energy infrastructure that is connecting the very best producing areas to the very best markets. And as I mentioned, the growing demand that we're seeing in really all areas that are really positioning themselves to take advantage of these great low-cost products that we have here in the U.S. As previously mentioned, our Bluegrass Pipeline project and the related frac-ing storage facilities are a major development. We executed a joint venture agreement with Boardwalk Pipeline Partners to continue developing this project and we've designed Bluegrass to transport natural gas liquids from the Marcellus and Utica shale plays to the rapidly expanding petrochemical and export complexes on the U.S. Gulf Coast. And, as well as the developing petchem market in the Northeast U.S. Williams board approved the project in June and we are now actively engaged in the development work, which includes surveying, environmental studies and permitting activities that are required to really keep this project on schedule. I can tell you from the shipper's perspective, maintaining that schedule is very important and a lot of people really have their eyes on that. We do have an aggressive schedule out there. And as a result, we've got to move quickly on the permitting and environmental stage. Of course the beauty of this project, one of them is the ability to use the Texas gas line, which greatly reduces the exposure we have to permitting activities along the large portion of the route. In our Atlantic Gulf business, we made significant progress on various fronts during the last 3 months. As I mentioned earlier, tremendous amount of growth going on, on Transco, but as well in the deepwater. We're pleased to have reached an agreement in principle, settling all issues in our Transco rate case during the second quarter and the agreement is in line with the new rates that we started booking the first quarter of this year. And as you would expect, the new rates are reflected in the current and the most recent guidance that we've provided in May. So in other words, steady as she goes on that front. Team did a great job of getting that settled quickly and in line with our expectations. So we're very excited to have that behind us and have that piece of our execution strategy checked off. In the deepwater gulf, we executed another tie-back agreement for our Devils Tower prospect. And we believe there's strong potential for another tie-back agreement as well in the area. These tiebacks are very powerful because of the very limited amount of capital required to bring these tiebacks on. And as you know, they produce a very meaningful amount of free cash flow. And certainly, this latest tie-back that we've reached agreement on is no exception. New projects coming into service are key drivers in the strong performance in our Atlantic Gulf operating area. On our Transco system, those expansions largely are in support of growing power generation load. We recently placed our Mid-South Expansion into service, this added about 130,000 dekatherms per day of fully contracted, long-term capacity connecting Transco Station 85 to serve power generators in the North Carolina and Alabama markets, as well as a local distribution company in Georgia. Just a note on that to remind you, last fall, we placed the first phase of this, which is about 95,000 dekatherms per day into service in -- same time last year. So we just keep clicking off these base hits. They continue to grow the firm revenues and firm service on Transco. Another important note for this period, I'm sure there's -- be a lot of questions around this. Because of our -- the Transco's positioning in the southeastern United States, we really are uniquely positioned to help meet the growing demand in Florida. As a result, we work with the Spectra to develop a winning solution to serve this large-scale growth opportunity as the FPL went out for an RFP for service in the area as you're all very well aware of. So as a result of that, Transco will be expanding its system from Station 85 up to an interconnecting point with Sabal trail and the near our Station 105 and the Sabal trail partners will then lease this capacity from Transco's on a long-term and cost-of-service basis. And in addition, Williams Partners has an option to acquire a meaningful, but a minority interest in the Sabal trails project. The option gives us a chance to better understand -- because of the timing of the auction, it gives us a chance to better understand the construction risk and the volume risk that ultimately will be associated with this bold project. We also took an important step on pace with our schedule for the Constitution Pipeline. In June, we filed an application with the Federal Energy Regulatory Commission to seek approval and build and operate this 124-mile pipeline that by 2015, will connect Marcellus gas production around our Susquehanna Supply Hub in Northeast Pennsylvania with key Northeast markets. And of course, these markets are continuing to grow mostly from power generation as well, and of course from the benefits of low cost natural gas. And that does interconnect into the Iroquois and Tennessee Gas Pipeline in upstate New York. The Constitution design supports transportation of about 650,000 dekatherms of natural gas per day. In the Northeast gathering and processing business, we're seeing important progress in putting the infrastructure in place to meet the demand of growth from the Marcellus and Utica shale plays and we're continuing to steadily increase gathering volumes in the Northeast. Keep in mind that we have exposure to this terrific growth through both assets that we operate and those investments for us that are operated by ACMP and our Blue Racer joint venture with Caiman and Dominion. Now on our operated assets, we set record monthly average volumes for June. And where we eclipse more than 1.8 Bcf per day of gas, not bad considering where we started just a few years ago there. And for the quarter, we gathered 76% more gas on our operated assets in the Northeast than we did in the second quarter of last year. So tremendous growth pace that we're on there. And I think, you'll continue to see tremendous record set there. And in fact, here in July, our team in the Northeast there topped their June record by gathering over 2 Bcf a day on our operated assets in the area. So our team just keeps expanding that. And so we're very excited to see the kind of volume growth we've got there. And also on the Susquehanna Supply Hub expansions, we're working very hard to keep pace with Cabot's rapid growth up there, team is doing a great job of working with Cabot and they are a formidable group to try to keep up with, with their very successful drilling program. And we are as excited as anyone to see them add their 6th rig coming up here in August. So a lot going on up there and great example of how infrastructure and drilling programs need to be coordinated well together. In our Ohio Valley Midstream franchise, we added another train there, so this will be the third train to our Fort Beeler facility. So continuing to execute on the buildout of our infrastructure there. And as planned, we placed into service 3 condensate pump stations in the second quarter to maximize liquids to Moundsville and to make sure that we're getting the liquids, the vast amount of liquids to continue to grow rapidly in that field. And so as Frank Billings laid out for you at our Analyst Call, he laid out several milestones that we need to execute on and we are clipping those off on schedule. On Slide 10, we'll review the array of growth CapEx spending and the timeline when to expect these projects to begin generating revenue. So if you look here at the large CapEx platform we're managing on the slide, you can see all of our major projects that will be coming online here extending into 2017 with our Canadian PDH project. Fundamentally, this is the same way we presented our CapEx by project outlook at our Analyst Day in May and in addition to marking a couple of projects that are now complete, including the Fort Beeler TXP III project. The most significant updates relate to the inclusion of the Bluegrass Pipeline project in the Canadian PDH project as we've just discussed. A few things to point out on this as well. First, the investment WMB made in ACMP is above and beyond what you see listed here, and we expect all of their strong growth prospects will be self-funded. Second, with the exception of the WPZ Geismar expansion and the WNB Canadian projects, all the remaining projects are backed by fee-based revenues. And finally, I would just highlight that this page concisely summarizes what we must execute on in order to achieve sustainable growth in cash dividend and cash distributions. These are projects that are well-known and well understood. Many are well into the construction phase. Our growth is highly dependent on our ability to execute on this vast array of value creating projects and not so much directly on NGL margins has been in the past. It also is obvious from looking at the slide that it will be 2015 before we begin realizing the full value potential of most of these investments and thus that 66% growth we see in DCF occurring in 2015 from our 2013 expected results. So moving here to the close. Before we move to the Q&A session, I'll just provide a few closing comments here. First of all, our fee-based business continues to grow and the second quarter results are a strong indication of the success of that strategy and our fast-growing resilience to commodity market fluctuations. In fact, when you think about it, in a quarter where were lost our single-largest commodity margin generator in the name of the Geismar plant for 20% of the period, we still had a very good quarter. We continue to make significant investments in areas where we can realize large-scale and lower cost of operations. And we are absolutely committed to focusing on areas where we can achieve our #1 or #2 position, not because we want that for bragging rights, but because we think that puts us in the position to have sustainable, long-term dividend growth of the kind you've come to expect from us. We've seen that in our Transco system and the west operating area and we're making similar investments in the Northeast to drive this additional growth, not just through this guidance period, but well beyond this guidance period. Williams is working to connect the very best supplier areas with the very best market areas and we've assembled a very strong management team in our operating areas and in our E&C areas and so we're very committed to helping deliver this growth and profitability that we know is -- that we can achieve as we execute against this strategy. The strategy is providing us with so many great investment opportunities that we are in the envious position of picking the very best risk-adjusted return projects that the market has to offer, and we think over the long haul, of course, that is going to provide superior shareholder returns over and above our peers, both in the near-term, but especially over the long haul and we certainly look forward to sharing our success with our investors as we move forward. Thank you for your interest in our company and we'll be happy to take questions now.
Operator: [Operator Instructions] And we'll take our first question from Stephen Maresca with Morgan Stanley.
Stephen J. Maresca - Morgan Stanley, Research Division: Alan, I want to talk first on Bluegrass. You seem pretty confident in the project obviously, it's now in guidance. What's your view on what sort of commitments you expect to move forward on it? What are the next steps we should hear about in terms of permitting? You mentioned getting commercial agreements later this year and then finally on that, do you expect this own -- just 50% of this or more or less as the project plays out?
Alan S. Armstrong: Well, it's kind of hard to speculate on the ownership interest towards that. It's going to be up to Boardwalk and their decisions there. But I think as things stand we're so confident in the market demand right now on the asset that I would expect that they would carry through with their plans just because I think the returns are going to be very attractive relative to other options in the market. I would say from a volume commitment standpoint, remember that we have a number of opportunities that came to us through the Caiman acquisition in terms of the liquids there, at that facility, as well as we have the dedication that we receive from Chesapeake and we also have other parties that -- where we had the processing rights on various gas streams out there as well that give us pretty nice base, frankly, volumes to build off of and while we wouldn't be going forward on the project if we thought we could only get to that 200,000 barrels a day or so of production, I would just tell you that we're seeing very strong interest from some of the larger players out there that really recognize how much value this is going to mean to the acreage out there and perhaps even see it as a strategic advantage in terms of being able to acquire acreage in the area. So I would just tell you, the excitement has been pretty, pretty big on this from the customer base. These are very long term commitments that we're looking for and of course, those take some time to gain corporate approval on. But I would just tell you that I'm not sure we could be asking for any better response than we've received today from the shipper community.
Stephen J. Maresca - Morgan Stanley, Research Division: Okay. And do you -- just a final on that in terms of the ownership. Is it something where you have an option to increase if you want, or is it again something where you both have to agree to change that ownership percent?
Alan S. Armstrong: I'm going to have Jim Scheel who's been right in the thick of that answer the point.
James E. Scheel: Williams and Boardwalk negotiated an agreement where they have an option to be a 50% partner. However, if they choose not exercise that right, Williams has the option to go ahead with the pipeline unilaterally.
Stephen J. Maresca - Morgan Stanley, Research Division: Okay, that's helpful, appreciate that. And then moving, Alan, you talked about the opportunities at the Florida market for Transco has on the expansion side, but also you mentioned about potential ownership of Sabal. Would that be something again at your option you could purchase? Would it be from Spectra or would it be from the next terra portion of it or any sort of color on that?
Alan S. Armstrong: Yes, sure. It would be from the project as a whole from the Sabal trail project as a whole is what our option would be on. And again, just to make it clear, we will be supplying basically the volumes in a phased approach on the front end of that project via Transco. So we're basically the supply source by expanding to a point that reduce the amount of construction -- the greenfield construction, required for Sabal trail. So we're kind of the front end of that. And Sabal trail is going to lease that capacity with a return that's consistent with our cost of service returns. So eliminates our construction and volume risk on that. And so we have that as investment, which we found very attractive. And in addition to that, when have an option down the road to invest in Sabal trails and of course, we really like that because it gives us a chance to see how the construction costs look like when they come out and the volumes will have a much better picture on what the volume commitments look like at that point.
Stephen J. Maresca - Morgan Stanley, Research Division: Can you say a what percent you could potentially own of it?
Alan S. Armstrong: No. I would just say it's meaningful. But it is a minority position.
Stephen J. Maresca - Morgan Stanley, Research Division: Okay. Final one for me. You mentioned as -- I was going to ask you about the reduction in Northeast G&P at Williams WPZ in terms of the segment profit and DD&A. I think you mentioned that was -- so this is just higher cost that's what brought that down the $55 million in 2014 and $30 million in 2015? I just wanted to make sure I'm understanding it.
Alan S. Armstrong: It's primarily just an allocation. We have things like our engineering construction costs, our technical support for operations, accounting, all those things that we allocate as a corporation out against our various operating areas and because we've got so much growth in the area and we're applying so many resources it, we studied our cost across those areas and applied those more appropriately to the real expenses. So it's not really a shift in our overall cost against the company. That's just a reallocation of overhead cost to that area.
Stephen J. Maresca - Morgan Stanley, Research Division: Okay. So not a new cost or a higher cost, just taking it from where it was accounted or allocated before and putting it into this segment.
Alan S. Armstrong: That's exactly right.
Operator: And we'll take our next question from Christine Cho with Barclays.
Christine Cho - Barclays Capital, Research Division: CapEx looks like it went up by $2.7 billion across 2013 to '15. Assuming some sort of increase over the $1 billion cost number that I think you originally gave us for the PDH facility, is the remaining mostly tied to Bluegrass or are there other large ticket items in there that were either included or taken out, of out of the 3-year guidance.
Donald R. Chappel: Christine, it's Don Chappel, it's mostly entirely Bluegrass. There's some other moves as you mentioned, but it's largely Bluegrass.
Christine Cho - Barclays Capital, Research Division: Okay. And then would you be able to give us, I guess, some sort of idea on what the cost increase is looking like for the PDH facility, is it materially over or like 20%?
Alan S. Armstrong: No. I would just say, again, we kind of came at that with an initial estimate that was very rough and the return was so attractive on it that we decided to proceed because even at an overrun, that would have been -- or an increase in our estimate, that would have been much higher which still would make sense. And I would just say, that cost did not go outside of that range. It was higher than what we early had in our guidance. But more importantly I think, the point to be captured there is that as we look at the project, we realized one of the fundamental benefits and what I would call industrial logic that underpins the project is the fact that we have got the ability to transport propylene derivatives rather than propylene itself into markets that are much closer than transporting the propylene all the way to the Gulf Coast and then turn around and transporting the propylene derivatives back to the Midwest markets and to the -- particularly in the Northern Midwest markets. And so by getting the propylene derivative business built there, we're getting -- we are positioning ourselves to be able to capture some of that transport and logistics advantage. And so we want to build that complex in concert with those derivative plant and there may be some optimization opportunity between the propylene plant and the derivative plant. Now having said that, don't hear us say that we're going into the propylene derivative business because that's not at all what we're doing here. And in fact we're going to do this in a way that's going to reduce our commodity exposure to propylene. But it does allow us to optimize the construction of the facilities. And again, to enjoy some of the benefits of the logistics through the pricing structure.
Christine Cho - Barclays Capital, Research Division: I see. So net-net, would you say that your returns overall look better than when you originally looked at it? Or do they kind of just off -- does everything just offset each other?
Alan S. Armstrong: I would say that our returns -- I would say our returns will be lower than what we originally thought. But I would also tell you that they're going to be a lot lower risk because you are converted to more fee-based business.
Christine Cho - Barclays Capital, Research Division: Okay. And then in your presentation slide, when you talk about equity funding for Bluegrass, you say WPZ investment and then you wrote WMB and/or third parties. Can you just clarify, when you say third parties, do you mean that you're willing to sell a portion of your interest in the Bluegrass project or sell your interest in some of your other assets like we've seen you do with Constitution, I don't know, maybe with some of your assets in Canada, et cetera to raise the cash?
Donald R. Chappel: Christine, this is Don Chappel. I'd just say we have a lot of options. WPZ is our preferred funding source. So to the extent that we need equity, our preference would be for WPZ to fund that versus Williams. But there are a number of other sources we expect that other parties will have interest in equity in Bluegrass. We may not choose to give any of it up, but it's really -- what you see there on the slide is just an expression of we've got quite a few options. And in the near term to the balance of this year and into next year, at least, early next year, we'll be funding this with excess cash at Williams, and beyond that, we'll have some choices to make. But for the next couple of quarters, 2 or 3 quarters, it's really funding with excess cash flow at Williams.
Christine Cho - Barclays Capital, Research Division: Okay, great. And then lastly, for me. In the Northeast, it looked like OBM volumes were slightly revised down in '14 and '15 while Susquehanna was raised. Can you verify that's the case and can you also provide a number for what volumes are today at OBM?
Francis E. Billings: Sure, this is Frank Billings. I would say that we did revise the volumes down a little bit. The majority of that is, as we actually have derisked a little bit it to the OBM volume forecast because we had a customer identified in our forecast and we've actually executed an agreement to have them become a true customer versus a forecasted customer. And with that, we've got a revised drilling program -- drilling schedule from them and we basically included that in our forecast, as well as one of our existing customers revised slightly their drilling program for '13 and '14. So that's the main driver for the volume adjustments, I would say, in OBM.
Christine Cho - Barclays Capital, Research Division: Okay, great. And then can you provide a number for what volumes are today at Williams?
Francis E. Billings: Yes. Right now we're moving around $200 million today, kind of we're moving around $250 million to $260 million, but we do have some volumes that are not moving. We've hit a peak volume in excess of $300 million a day in OBM. And right now, what is happening is we have a couple of customers, one is drilling and frac-ing a new well, so they've shut in some production around that well frac so that they don't -- or for whatever reason, I guess they want to protect or manage that activity. And then we have another customer that is having some permitting issues on one of their well pad, so they had to shut in production as well. But I can tell you that we're also -- we have multiple producers out there that are in the process of completing some wells and I think -- we see the activity that we expected to see from the producers in OBM this summer as they're trying to get some work done before the fall and winter season hits. So I think we're on the right trajectory and I just think what we have is -- when we lose 30% of our volume or 10% of our volume, $30 million a day for producer activity, it shows up at this point. But I can tell you that in OBM today, we are operating well mechanically. All of our mechanical and operational issues are few at this time. And I think, we're in a good position to move the volume that's behind the system today. And when we complete the work for -- that we had talked about in the second -- the first quarter call around the CR -- or the facilities that we're going to get in place, I think we're going to be in great shape for the rest of the year.
Operator: And we'll take our next question from Bradley Olsen with Tudor Pickering.
Bradley Olsen - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: My first question is on Transco and some of the opportunities you're seeing around that asset. We've seen Leidy pricing and just pricing around the dry gas pricing area, the Marcellus come under a lot of pressure. Is that adding to kind of inbound producer demand and maybe even some inbound demand side or utility demand for capacity on projects to get out of the Northern PA and Northern New Jersey markets like Leidy Southeast and Constitution?
Rory Lee Miller: Bradley, this is Rory Miller. Good question. In fact, when we closed out our Leidy Southeast project, we had very robust demand. But we've had a number of producers that have called back saying if they could get in to see if it was not too late to open the door and get on the project. So I think we've got over 8 BCF a day of pipeline, interconnects and capacity connected to bring gas into Leidy. And as those new connections see additional wells drilled behind our system and behind those interconnects, people are finding they need to get a way out. So we think there's an excellent chance for additional expansion up there, somewhere down the road. But very much a supply push situation. We've talked a lot about the quality of the Cabot reserves, the quality of their wells up there. But we're seeing that sweet spot extend west of there as well. So even though it's a dry gas area, the EURs on those wells are so robust that the economics of the current gas prices are very compelling. So we see a big supply push coming out of that area and we're looking at number of opportunities to help satisfy that demand from producers. Likewise, we talked a lot at Analyst Day about all the power generation opportunities up and down the system. We continue to see those opportunities roll in the door. So there's a fantastic opportunity for us to match up demand pull with the supply push, and we think that's going to keep new projects coming for years into the future.
Bradley Olsen - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: But no plans today on the table to expand either the Leidy Southeast or the Constitution project?
Rory Lee Miller: Right now, we're probably focused on the Leidy opportunity and I would just say, we're early on in that, but something could be coming out here in the near future.
Bradley Olsen - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Okay. And on the Bluegrass project. As you look at the pipeline fractionation storage, integrated nature of that project, is the 2.7, give or take, that you discussed as being largely Bluegrass related in your CapEx budgeting, does that include an export facility? And do you think that you would need to enter into a JV or some kind of economic sharing agreement with someone who has an existing export facility or existing acreage on the Gulf Coast in order to get that done?
James E. Scheel: Bradley, this is Jim Scheel. We have not included in the guidance number the export facility. We're still defining that at this point. We have seen a great amount of interest from our customers for that, they do view the international markets as the logical destination for many of the propanes and butanes. We have identified the site and we're moving forward to acquire that. As it relates to the cost of that, we're still defining it. We'll include that in future guidance.
Bradley Olsen - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Okay, great. And just a follow-up on some of the PDH questions from earlier. The PDH, as well as the ethane recovery costs appear to have increased since the Analyst Day. Is that, in the case of the PDH something related to kind of overall labor and cost trends in Western Canada? Or are those 2 separate issues? And on PDH, Alan, you mentioned that you would kind of rule out entering the propylene derivative business. Is there any reason, specifically, that you ruled out providing your own polypropylene facility just to expedite that process?
Alan S. Armstrong: Yes, I'll take the last half of that and then I'll ask Fred Pace, who runs our engineering construction, to answer your question on the fundamentals in the construction cost in Alberta. On the derivatives side, I would just say that as you move further and further downstream, that starts to become more and more knowledge that is outside the base of our operations today. And I would just say, we have so many opportunities that are right down our fairway of knowledge that it doesn't really entice us to move outside of the area that we have strong knowledge in. And so we're excited to partner with others that have both the marketing expertise and the operations expertise that can help bring the value to that. So said another way, we're not really all that motivated to learn some new lessons when have such great opportunities in front of us right now. And so that's really driving that decision. And I'll ask Fred to answer the questions around the cost pressures in Alberta.
Fred Pace: Yes, on the PDH cost outlook kind of playing on Alan's earlier comment about our observance of other projects, having cost pressures, we've analyzed that. And did a much better job of also analyzing all of our other risks around availability of labor and contract personnel and materials, our entire supply chain around that. So that's just our best current thinking and guidance around our current risk analysis to come up with our current outlook.
Bradley Olsen - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Okay, great. And just one more and I'll get out of your hair. The Atlantic Gulf segment, you reduced kind of 2013 and 2014 guidance fairly significantly after the first quarter call. Now you've kind of printed 2 strong quarters in a row in the Atlantic Gulf segment, really the kind of Transco-related seasonality really wasn't visible on those results. And so you've kind of printed $300 million of segment profit in the first half of the year and you've kind of guided towards a full year segment profit in the low $500 million range. Is that -- is it correct to imply a decline in the second half of the year? Or is that just a segment that has, I guess, outperformed since the first quarter reporting?
Rory Lee Miller: This is Rory Miller again. I think the guidance that we included in the book showed us outperforming guidance, maybe $30 million on a full year basis. And I -- so I think we're going to be able to hold on to some of that, about 2/3 of that revision is attributable to lower O&M and G&A and we've been working hard I think as Alan mentioned earlier to control expenses. And I think a lot of that is -- will be sustainable improvements. We also had some other minor issues that are helping out. We did have an increase on our liquid transportation rates on Transco for condensate and retrograde. That combined with a little higher DD&A and then a reimbursement for some engineering cost from Gulfstream accounted for about 1/3 of that $30 million. So that's a lot of detail. But a number of those are sustainable type items. Of course, the engineering reimbursement would be a one-time event.
Operator: And we'll take our next question from Craig Shere from Tuohy Brothers.
Craig Shere - Tuohy Brothers Investment Research, Inc.: A couple of quick questions. Does the business interruption insurance in the 2014, say, for the first quarter cover the delayed startup of the expansion on Geismar?
Donald R. Chappel: Craig, this is Don. I think answer is yes. Basically the policy covers our losses. So it's a comparison of what we would have made had the event not occurred to what we did or didn't make as a result of the loss. And obviously, we have a responsibility to minimize the loss and we would do that with or without insurance. So we're interested in getting the facility back up and running safely as quickly as possible, including the expansion. But the repairs are really the critical path item and the expansion will be complete along with the recovery and the turnaround. And we expect that to be covered.
Craig Shere - Tuohy Brothers Investment Research, Inc.: Great. And Don, while I have you on the line, there was little uptick at least, for the quarter in the tax rate, but I don't think the full year has changed in terms of guidance. Can you give us some color around that?
Donald R. Chappel: I think the full year is down a little bit because of some additional bonus depreciation we were able to identify. And then just a function of continuing to refine the numbers, I think, the quarterly numbers are -- tend to move around a little bit, depending on the profitability and where that profitability is.
Craig Shere - Tuohy Brothers Investment Research, Inc.: Great. And then finally, I wonder if you all could just give a little more color because I think there were some prepared comments regarding it and then also just recently some comments about attacking L&M and G&A that's helping the Atlantic Gulf segment. But could you all discuss in a little more detail the success you seem to be having with cost containment, especially in 2013 to offset some of the headwinds we're seeing?
Alan S. Armstrong: Well I would just say, we've all made a concerted effort on that front. As you know, we went through some very significant organizational restructure post the spin-off of WPX and I would just say that we are positioned and we reorganized ourselves in a way that we can really focus and bring some transparency to our cost structures and understand the areas of opportunity we have to put pressure on that and the team is doing a great job of doing that. So I would just say it's kind of the old-fashioned way. The good news I would tell you is I think it's very sustainable. And I think we have opportunities to continue to improve even more so as we kind of explore new opportunities in a much more integrated company. And so for instance, we're seeing areas of opportunity between gas pipes and midstream where previously, we operated as separate -- completely separate business units and now, we're seeing opportunities to save money because we're operating in a much more integrated fashion than we have previously. So more to come on that, but the team is doing a terrific job and very proud of the focus they've put on that.
Operator: And we'll take our next question from Carl Kirst with BMO Capital.
Carl L. Kirst - BMO Capital Markets U.S.: Three, perhaps, cleanup questions. The first actually on -- just with respect to the insurance of Geismar. Obviously, you laid out the expectations and I guess with potentially only a 60-day lag that kind of implies a pretty smooth process. Has there been any contention or friction from the insurers at this point that would give you pause at all or is this -- do you expect to be a pretty smooth process?
Alan S. Armstrong: Carl, its too early to tell. We've not yet filed our first claim. But this is something where we'll be able to: one, we can present our forecast. The forecast we had before the incident and that was prepared without any knowledge of the incident coming, so I think that's pure. There's no bias in that forecast. We can present that to the insurers now. We would have our first insurer loss in the month of August. That would have been after the 60-day waiting period, but before the planned turnaround. So there's a small period that's insured. Just a couple of weeks of operation between that 60-day waiting period and when the turnaround would have happened. So we'll be able to submit that at the end of August, early September, and get response from the insurers on that payment, and that really set the stage for the balance and then we'd be in 50-day turnaround and so then in October, we would have a partial month again where we would have another partial month claim. We'd submit that claim at the end of October and then we'd submit a claim update every month. So we think that the 60-day lag is reasonable. It's possible we could get paid earlier or somewhat later. But right now, that's our best estimate.
Carl L. Kirst - BMO Capital Markets U.S.: Appreciate the color on that. The second and not to, perhaps, beat a dead horse on the PDH facility. But just given all the cost inflation that we have seen in Alberta and seem happening in such a quick period of time. When you look out with the major spend on when the PDH would actually happen. Is there any possibility of locking something up turnkey with someone in order to stem any possible future labor inflation?
Alan S. Armstrong: Well, again, I think by stretching our schedule out, we give ourselves a lot more opportunity around that. And as you'll recall and I think we mentioned this in our announcement -- original announcement with PDH facility that we were going with a little bit different design than some on the industry had because -- and a little bit smaller, so that we can build that business on a more modular basis. And so that allows us to bid out that modular construction on a fixed fee. And so the remaining portion would be the in the field construction. The good news about this project aside from some of the other projects we've seen a lot of cost pressures is this work is at Redwater, which is near Edmonton. A lot of the areas we really had a lot of struggle with in terms of low productivity and cost pressures has been in the Fort McMurray area where labor is more constrained, particularly skilled labor is more constrained. So I would just say, we're taking -- we're working hard to contract this in a way that really eliminates a lot of that build construction labor risk and productivity risk and stretching the schedule out gives us even more opportunity to do that.
Carl L. Kirst - BMO Capital Markets U.S.: Fair enough. And then last question if I could. Just on Bluegrass and if you could just refresh -- I think, you probably addressed this in prior conversations. But as you look out at sort of this large material investment, are you expecting from -- the feedback you've heard from shippers, are you expecting a return profile in line with other sort of large, almost, call it, FERC allowed type of traditional infrastructure returns? Or is it the uniqueness of the NGL solution would allow something higher more indicative of Midstream infrastructure?
Alan S. Armstrong: Well, I would say a couple of things allow us with a -- and remember, only a portion of this is regulated. The frac and storage business downstream of that is not regulated, so we have that opportunity, if you will, in terms of better than FERC return and I would just tell you, we have plenty of regulated cost of service returns available to us. And so we wouldn't take any additional risk or development cost like this if we didn't expect higher returns than that. So the answer to your question is, we do expect higher overall returns on the project. And one of the things that helps us achieve that obviously, is the benefit of the Texas Gas line and which provides us with a better solution than the market would otherwise had to offer. And gets us in schedule. Importantly, I can tell you from the shipper's perspective, this timing issue probably can't overstate that in terms of importance because people have all this acreage up there. They're very anxious to go drill, but they're seeing NGL prices continue to collapse up there in a very oversupplied market. Their only option is to transport out by rail and that -- even that is getting pretty congested. So I would just say that the market is very anxious for this solution and the return we're making is -- reaps the benefits of some of the things I mentioned.
Operator: And we'll take our next question from Sharon Lui with Wells Fargo.
Sharon Lui - Wells Fargo Securities, LLC, Research Division: Just wondering if you could maybe talk about the risk to achieving that April resumption date for you Geismar? Is it really just mainly, I guess, the pace of the repairs? Or does the status of the investigation play a part at all?
John R. Dearborn: A very insightful question. This is a John Dearborn, on the answer to that, if you take a look at it, we've got a few investigations underway, 1 by OSHA, 1 by CSB, and of course, the Williams' own investigation. We're collaborating there in a very open and transparent way with OSHA and CSB. And as a result of that, over time, over the last few weeks, OSHA and CSB have been, I'll say, giving back more and more of that plant so that the effective plant now that's still under the control of OSHA is a very small area around the fractionator itself. And so that's allowing us now to begin to, I won't say demolish, but begin to take apart the impacted part of the plant. So pretty quickly here, we think that the investigation is going to become a less of a risk to our path of rebuild. Then the question becomes, how quickly can we get the equipment and the necessary materials to plant and construct it and that in fact sets our timeline. Though it's not without risk, we feel pretty confident about the April 1 date, that's why we've been out with it.
Sharon Lui - Wells Fargo Securities, LLC, Research Division: Okay. And just another follow-up. In terms of the business interruption insurance, does that, like, cover, I guess, any obligations or contracts with your supply or sales?
Alan S. Armstrong: I'll let John take the question on the sales contracts. I don't think we expect to have any significant losses in that area. But yes, it would cover.
John R. Dearborn: Yes, and again, very insightful because of course, our customers are a very important stakeholder base for us right -- but we're going out to continue to build our relationships with our customers. All of our customers essentially are on force majeure at the moment and will be over time. We want to continue to preserve those relationships, so that they'll be there when the plant comes back up. So all these information is actually fresh for our customers in the coming weeks. We're going to be going out and speaking personally with our important customers out there so that they are with us on the other end of the startup.
Sharon Lui - Wells Fargo Securities, LLC, Research Division: Okay. And this also applies for any supply sources in terms of ethane?
John R. Dearborn: We really don't have a concern about the ethane. Essentially, the ethane goes back into the market and probably get used and consumed by others so it's not really an issue for us in our business.
Operator: And we'll take our next question from Ted Durbin with Goldman Sachs.
Theodore Durbin - Goldman Sachs Group Inc., Research Division: I just want to understand the -- kind of picking up off of Sharon's question, sort of the range of outcomes if we're plus or minus the April 1 date on financials relative to kind of where you are with the insurance and the deductible let's say we push another quarter out, what does that do in terms of -- kind of the financial impact?
Donald R. Chappel: Ted, I think as John mentioned, we have a plan to get us started back up in April. If we push that back at some point, we would run out of potentially, or hypothetically, we'd run out of insurance -- business interruption insurance and the coverages combined $500 million for both business interruption and property damage. We have a current estimate on the property damage of $102 million, less a $10 million deductible. So that's $92 million of assumed coverage at this point. And then as you saw, we disclosed an estimate of $384 million on the business interruption coverage. So certainly, significant delays would expose us.
Theodore Durbin - Goldman Sachs Group Inc., Research Division: Okay. But at that point then, it's just a matter of sort of the loss -- what's called the loss margin of the downtime from that perspective? And obviously, assuming the repair costs were the same. Is that fair?
Donald R. Chappel: Yes. Again, we have no reason to believe that the downtime will extend past April at this point, but certainly as you think about risk, I think you understand it well.
Theodore Durbin - Goldman Sachs Group Inc., Research Division: Great. Okay. And then just in terms of the distribution growth here at WPZ. It looks like you're still comfortable running a little below 1x in 2014. You've kept the idea wherever is the same. But again, there's some flex here in terms of what happens with Geismar. I was just wondering how we should think about what you'll target for coverage if the IDR waivers get increased from WMB or do we lower distribution growth, say, at WPZ, kind of how those all interplay?
Alan S. Armstrong: Those are, I would say, speculative questions at this point. But clearly, WPZ -- Williams enjoys about 75% of WPZ's distribution, so we have a big stake in it. WPZ is our primary equity funding vehicle and funding vehicle generally. So obviously it's very important to Williams. We did waive the $200 million of IDRs. We did not see any point to step forward further on that at this point. But certainly, we'll consider potential waivers, additional waivers if and when needed. So I would just say, we'll stay tuned here. If we execute as we had put forth in our plan here today, we don't believe any additional waivers are required. We look at 2014 at getting closer to 1x coverage again with a lot of fee-based growth. And by 2015, getting back to that 1x coverage number. So we're comfortable running where we are. And at Williams we'll continue to monitor the situation and see if WPZ needs any additional support and make the decision accordingly.
Operator: And we'll take our next question from Jeremy Tonet from JPMorgan.
Jeremy Tonet - JP Morgan Chase & Co, Research Division: My question is with regards to the Western segment, seems like in the west, results were better than we anticipated and going nicely in the first half of the year. I was just curious as far as in 2014, you have a bit of a stepdown there as far as what you're looking for segment profit in DD&A, it was only marginally increased. I'm just wondering, is that a bit of conservatism or what's kind of driving the year-over-year step down in guidance there?
Allison G. Bridges: Well, partly because we do have some contracts that had changed in 2014. So that is some of the reduction.
Jeremy Tonet - JP Morgan Chase & Co, Research Division: Okay, great. And then last one for me. I was just curious, with this guidance revision, I think some of the other recent ones, it seems like maintenance CapEx has been ticking down a little bit for 2014, 2015. I was just wondering if you could touch on the drivers for that?
Alan S. Armstrong: Sure. One of the things is we had some, as we mentioned earlier, we have some time pressures on getting some of our asset integrity work done towards the end of 2012. We completed a lot of that work as we've laid out in the past so we kind of add an accelerated effort there to complete some of that work. And as well, we're continuing to take advantage where we can of the integrated nature of our business and looking to really invest that maintenance capital in the ways that reduce risk very best for this company overall. And so I would just say, we're continuing to really analyze that. Obviously, the thing we're going to spend our dollars on first is keeping the system safe and reliable and we certainly won't back off on the cost that it takes to do that and we'll continue to do that. But there are other areas that we can find ways to improve cost, purchasing power across a lot of our assets, which we -- when we combine our gas pipes and our midstream efforts, we got a lot of purchasing power. And so we're continuing to find ways to improve on that.
Operator: And we'll take our final question from Christine Cho with Barclays.
Christine Cho - Barclays Capital, Research Division: Just some follow-ups. On the PDH facility, if it's going to be in service in 2017 is most of the CapEx going to take place in 2016 with maybe a little bit in '15? I just wanted to know how we should think about the timing of the spending.
Fred Pace: This is Fred Pace responding. That's exactly right, wrapping up in '15, but the majority occurring in '16.
Christine Cho - Barclays Capital, Research Division: Okay. And then this is just an accounting question. But are you going to be consolidating your 50% interest in GulfStar and your 41% interest in Constitution? I wasn't clear if you guys -- how you guys are accounting for it in your segment profit guidance?
Alan S. Armstrong: John is going to take this one.
John Porter: This is John Porter. Yes, those 2 assets are shown on a consolidated basis with a non-controlling interest presented below segment profit.
Operator: And that does conclude our question-and-answer session. I would now like to turn the conference back over to our speakers for any additional closing remarks.
Alan S. Armstrong: Okay, great. Well, thank you, all, very much. This is Alan Armstrong again, thank you all for joining us and we remain very excited about the future that we have ahead of us. And our showing of starting to really turn the corner on the fee-based projects really starting to kick in so thanks for joining us.
Operator: And that does conclude our conference. Thank you for your participation.